Operator: Good morning, and welcome to Whirlpool Corp's. Fourth Quarter and Year End 2011 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I'd like to turn the call over to Senior Director of Investor Relations, Jel[ph]
Unknown Executive: Thank you, and good morning. Welcome to the Whirlpool Corp. Fourth Quarter and Year End 2011 Conference Call. Joining me today are Jeff Fettig, our Chairman and CEO; Mike Todman, President of Whirlpool International; Marc Bitzer, President of Whirlpool North America; and Larry Venturelli, our Chief Financial Officer. Our remarks today track with the presentation available on the Investor section of our website at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corp's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and 10-Q as well as in the appendix of the presentation. Turning to Slide 2. We want to remind you that today's presentation includes non-GAAP measures. We believe that these measures are important indicators of our operations as they exclude items that may not be indicative of, or unrelated to results from our ongoing business operations. We also think that the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operation. Listeners are directed to the Appendix section of our presentation beginning on Slide 37 for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that let me turn the call over to Jeff.
Jeff M. Fettig: Well, good morning, everyone, and thank you for joining us on the call today. Earlier this morning as you saw, we released our fourth quarter and yearend financial results. And I'd say to sum up Q4, we did exit the year with good momentum coming from improving price/mix, significantly lower inventory levels and a continued strong cadence of new product introductions. With these positive trends, we are well-positioned for margin expansion, earnings growth in the coming year. Turning to Slide 4 we'll talk about our full year results. In 2011 we reported annual net sales of $18.7 billion, up 2%. Our GAAP net earnings per share were $4.99 compared to $7.97 in 2010. And as we discussed quite a bit last year, we did have higher material and oil-related cost which came in at approximately $450 million and that significantly impacted our results last year. Turning to Slide 5, you'll see a recap of the actions we previously discussed that we're focusing on to improve our operating results. As we expected, the global conditions remain challenging particularly driven by Europe, which is driven by the Euro debt concerns. However, we have made substantial progress on the actions, which we outlined last October. And those were to improve our operating profitability, to reduce our fixed cost structure, to realize previously announced price increases and to continue to deliver a very strong cadence of new product introductions. And these actions already have began to yield results that you see in the fourth quarter. During the quarter, our North American region delivered a 2x margin improvement year-over-year despite a 3% industry unit decline. We see the strength of our global brand portfolio is evident as we continue to see strong consumer preference for innovative new product offerings, and this is driving a positive mix and margin. Our cost reduction and capacity reduction actions which we announced last October are on track, and as we said then, we expect them to yield $200 million in fixed cost savings in 2012 and another $200 million in 2013. We also continue to drive strong cash flow from our ongoing business operation, which has enabled us to fund a number of legacy liabilities in 2011. As a reminder, these included over $300 million related to a Brazilian collection dispute, $44 million related to antitrust resolutions and $298 million in pension contributions. In total, these legacy items were funded by almost $650 million, but even with these items, we ended the year in a very strong financial position and with $1.1 billion of cash at year end. Also, while we have benefited historically from both U.S. energy tax credits and Brazilian BEFIEX tax credits, we do recognize that this has created some difficulties in evaluating our ongoing business operations. Due to this, we have clearly defined our ongoing business operational performance by showing our baseline operating results without x items which are restructuring, U.S. energy tax credits and the monetization of BEFIEX tax credits. So then turning to Slide 6, looking at just our ongoing business operations, last year our net earnings per share were $2.05 compared to $4.47 in 2010. Our cash from ongoing business operations without legacy liabilities was approximately $400 million last year. Turning to Slide 7 and 8, you'll see our 2012 priorities and how the actions that we've outlined are expected to impact our results. Again, we are focused very strongly on margin expansion, and we expect the actions that we've already taken to have a significant positive impact for the year. We will continue to benefit from the global price increases we took last year as their benefits carryover into 2012. In addition, we implemented price increases in several large markets, but went into effect at the beginning of January of this year. We also will continue the strong -- the cadence of strong product innovation which will contribute to overall revenue growth, mix and operating profit. Even in the fourth quarter, we have begun the benefits from our cost capacity reduction actions, which will accelerate throughout the year in 2012. And lastly, we still see this year 2012 estimated raw material inflation to be a headwind, and we're forecasting those increases to be between $300 million and $350 million, but we expect to more than offset these costs with our other normal strong productivity activities. Turning to Slide 9, it summarizes our current demand outlook for the year. Overall, globally, we expect flat to slightly positive demand growth around the world. In the U.S., we expect demand to be flat to up 3%, with the demand primarily being driven by replacement purchases as we saw last year. In Europe, we're forecasting a demand decline of 2% to 5% for the full year as consumer confidence in the Eurozone remains weak. We see -- continue to see strong underlying economic fundamentals in Brazil and other Latin American countries and are forecasting demand growth in the 2% to 5% range. And finally, we expect moderate growth of 2% to 4% in Asia this year. So taking all these factors into account, our assumptions on the external environment, but more specifically the factors which we are executing and have put in place, we expect to deliver GAAP EPS this year, 2012, in the range of $5 to $5.50 per share and overall positive free cash flow of $100 million to $150 million. On an ongoing operational GAAP basis, x-ing out the items I previously described, our guidance this year is $6.50 to $7 per share, and we expect cash flow from our ongoing business operations to be $950 million to $1 billion. So with that, I'm going to turn over to Marc Bitzer for his review and comments on North America.
Marc Bitzer: Thanks, Jeff, and good morning, everyone. Let me start by giving my perspective on North America's performance for the quarter. As shown on Slide 12, we realized more than 2x profit improvement year-over-year, which is a clear indication that our previously announced actions are yielding intended results. All previously announced price increases are fully implemented, including the most recent 6% to 7% price increase effective January 1, 2012. As you know, these increases are necessary to mitigate higher material costs. As a result of a cost base price increases, our margins have substantially improved both sequentially and year-over-year. And we are well-positioned to expand margins in 2012. For the quarter, sales grew 1% despite an industry shipment decline of 3%, and margins improved significantly during the fourth quarter of 2011 compared to the same period last year even if adjusted for the non-operating supply recovery and curtailment gain. However, raw materials continue to be a headwind for us, and we continue to take actions to adjust our inventory to industry demand. On Slide 13, you see our annual U.S. industry T7 units since 2005. For 2011, the year ended this demand bumping along the bottom at these recessionary levels we saw in 2009. It is clear that replacement is driving demand at this point. Approximately 60% of all consumer purchases are direct -- are replacement purchases. Based on this, we expect North America industry shipments to be flat to up 3% in 2012. On Slide 14, you'll see North America's financial performance in the fourth quarter. Regarding our overall unit volume, we saw our North America unit shipment down 3% in the fourth quarter, which is in line with the U.S. industry decline of 3%. The net sales of $2.6 billion grew 1% from last year, driven by improved product price/mix. Turning to Slide 15, you can see a sampling of our innovative new products that we launched throughout the year. Before I hand it over to Mike, I want to highlight our business priority for North America in 2012 as shown in Slide 16. As Jeff had mentioned, we're primarily focused on actions driving margin expansion. In 2012 we will build upon the positive momentum we saw in Q4, but stable the price/mix, and pricing carryover will continue and pricing would grow with the recently implemented January price increase. The cost and capacity reduction initiative that we introduced in the last earnings call are on track to generate the expected benefits. And we will continue to leverage our strong product innovation and higher-margin adjacent businesses for growth over long-term. Let me close with some comment on the antidumping petition we filed in December 30. We took necessary actions to promote a fair and open global trading system, protect American jobs and to innovate and invest in America by filing antidumping and countervailing due to petitions for large residential clothes washers with South Korea and Mexico. We expect to receive a final determination on this petition February 2013, and a final determination related to earlier open market refrigerator petition in May of this year. While neither investigation is yet complete, we remain very confident about both cases. And now I'd like to turn over to Mike for his review of our international operations.
Michael A. Todman: Thanks, Marc. I'll begin on Slide 18 with a review of our international business. During the year high material cost and soft demand were global issues, and we saw high inflation and low consumer confidence slow the rapid growth rates in emerging markets. Europe remained the most challenging region from an international perspective as the European financial crisis drove weak consumer demand across the Euro zone. We focused significant restructuring resources and significantly reduced production in the European region beginning in the fourth quarter to better align our cost with industry demand levels and lower our fixed cost structure going forward. We are confident that these actions will positively impact our future performance in Europe. In Latin America as you may know, the Brazilian government declared an appliance sales tax holiday in December. As a result, we monetized less BEFIEX during the quarter. The stimulus program set to expire on March 31 is similar to the program instituted by the Brazilian government in 2009 that drove increased demand in the region and lasted for 9 months. Irrespective of the stimulus program, however, we continue to be very positive about the prospects for our Latin America business. In Asia, we experienced growth in China, while high inflation dampened consumer sentiment leading to a reduction in demand in India for the quarter and the year. Turning to Slide 19. In the fourth quarter, our Europe, Middle East and Africa sales decreased 8% year-over-year to $848 million with unit shipments down 4% compared to the prior period. Excluding the favorable impact of currency, sales decreased approximately 7%. The region reported an operating loss of $32 million versus the $29 million profit last year. Results were unfavorably impacted by weak consumer confidence, higher material costs and significantly lower production to adjust to a weak industry demand in the region and then slightly negative product price/mix. We expect our cost reduction actions, ongoing productivity initiatives and previously announced price increases will have a positive effect on results going forward, and we will return to solidly profitable position this year. Slide 20 shows the summary of our Latin America fourth quarter results. The region reported sales of $1.3 billion, down 5% from the prior-year period with appliance unit shipments down 4%. Excluding the impact of currency, sales decreased approximately 1%. Our demand decline was mix driven. Through pricing actions we purposely reduced our sales of lower end products such as microwave ovens and air conditioners, while maintaining our strong share in the critical categories of washers, refrigerators and cooking. Operating profit totaled $155 million compared to $193 million in the prior year. Favorable product price/mix was offset by lower monetization of tax credits, higher material costs, unfavorable currency and reduced production levels. On an adjusted basis, excluding BEFIEX tax credits, operating profit for the quarter totaled $96 million compared to $112 million in the prior-year period. Our fourth quarter results in the Asia region are shown on Slide 21. Net sales decreased 2% during the quarter to $200 million, down from $204 million in the prior year period with flat unit shipments. Excluding the impact of currency, sales increased approximately 4%. The region's operating profit was $2 million for the quarter compared to $4 million in the prior year. Overall, favorable product price/mix and volume improvement in China was offset by higher material costs and weak consumer demand in India. Turning to Slide 22, you can see just a few examples of our new products that we launched in 2011. We have innovative product launches in every major category around the world. Turning to Slide 23. We are focused on executing the margin expansion actions already in place. We expect to benefit from: one, our previously announced price increases in every region of the world; two, cost and capacity reduction initiatives in Europe; and three, ongoing productivity programs. Overall, we are well-positioned for a solid performance throughout the year. Now I'd like to turn it over to Larry Venturelli for his financial review.
Larry M. Venturelli: Thanks, Mike, and good morning. Beginning on Slide 25, I would like to summarize the main drivers of our fourth quarter results. While we did have significantly improved year-over-year price/mix during the quarter, our sales declined approximately 3% to $4.9 billion, primarily due to lower industry volume and the impact of currency. Excluding currency, sales were down 1 point on global unit volumes, which decreased 3.5 points from the prior year. Raw material and oil-related costs continued to be a headwind during the quarter, and given industry demand trends, we significantly reduced production to align inventory with the current demand environment. Overall, we ended the year with $2.4 billion of inventory, which is $700 million lower than where we were in June and more than $400 million lower than December last year. We are very well-positioned with our inventories entering 2012. Based on volume and product mix, we monetized $59 million of BEFIEX credits compared to $81 million in the prior year, which was lower than expected due to the tax holiday that went into effect on December 1 in Brazil. For the year, $266 million of credits were recognized. Turning to the income statement on Slide 26, you will note that our operating profit was up slightly from the previous year. Results were positively impacted by continued improvement in price/mix and cost productivity. Higher raw material cost, lower production to adjust inventories to weak global industry demand and lower monetization of Brazilian tax credits adversely impact the results during the quarter. Results also included significantly higher restructuring expense at the benefit of $96 million from a previously disclosed supplier recovery and benefit plan curtailment gain. Turning to Slide 27, you'll see that the income tax benefit we recorded in the quarter was primarily the result of recognizing approximately $110 million of energy tax credits. For the year, $366 million of credits are included in our results. As a note, it's important to point out that the energy tax credit program in the U.S. was not extended into 2012. Primarily due to the conclusion of this program, our 2012 effective tax rate will be in the 26% to 29% expense range. We reported diluted EPS of $2.62 per share in the quarter, compared with $2.19 per share in the prior year. Moving to our free cash flow results on Slide 28. We reported a free cash flow use of $55 million for the year compared to the generation of $502 million last year. It's important to point out that full year results include approximately $300 million in pension contributions and approximately $300 million for the first of 2 payments related to the Brazilian collection dispute. Specifically, you can see our working capital improvement in 2011 driven largely by significant inventory reductions. I will go into further detail regarding free cash flow from our ongoing business operations in a few minutes. Finally, included within other cash are the pension and legacy legal liability payments we made during the year. As Jeff introduced earlier on the call, our 2012 guidance is shown on Slide 29. For 2012, we expect to deliver diluted EPS in the range of $5 to $5.50 per share and positive free cash flow of $100 million to $150 million. As you will note, we are forecasting significant improvement in our ongoing business operations during 2012. To provide further clarity and comparability between both our reported GAAP results and GAAP guidance with our ongoing business operations performance, we have included a table on Slide 30, which I'd like to provide some comments and perspective on. I'll first discuss tax credits which have been recognized as a direct result of our operating performance for the past several years and are either concluding or have a limited remaining life. First, you will note that our 2012 earnings guidance does not include any benefit from the U.S. energy tax benefit program given that, that program was not renewed at the end of 2011. Therefore, we're adjusting 2011 results to facilitate comparability between the years. Secondly, over the past several years we have realized BEFIEX tax credits through our operating performance in Brazil. I'd like to provide some detail regarding our remaining credits. At the end of the third quarter 2011, $383 million of credits had not been monetized. During the fourth quarter, as I mentioned, we monetized $59 million of credits. Two additional adjustments to available credits were made during the fourth quarter. First, the strengthening U.S. dollar versus the real reduced credits by $24 million. Second, based on changes to government inflation index tables in Brazil, there was a $62 million reduction to future available credit monetization. Therefore, based on credits recognized to date, changes to applicable government inflation factors and currency translation, there's approximately $240 million of future cash monetization remaining. Given that these are near completion of monetizing, we have also adjusted both our 2011 actuals and 2012 guidance to facilitate year-over-year ongoing business operation comparisons. For 2012, our guidance includes $60 million to $80 million of BEFIEX credits compared to the $266 million recognized in 2011. As Mike mentioned last December, the Brazilian government announced tax breaks to consumers, which are essentially identical to the program enacted during 2009, which was extended and remained in effect for 9 months. This program significantly reduced the amount of BEFIEX credits we could recognize. For all of 2009, we recognized $69 million of credits. We are modeling our 2012 guidance similar to the previous program. Should the current 4-month program not be extended to 9 months, we would be able to monetize additional credits during 2012 of approximately $150 million. The remaining $60 million balance is associated with court order fees, which will be monetized in subsequent years. In addition to tax credits, we're also adjusting for restructuring expense. As you know in October, we announced the largest restructuring program in company history, which is expected to be completed during 2013 and will provide approximately 200 in benefits -- $200 million in benefits during 2012 and an additional $200 million in benefits in 2013. Slide 31 illustrates that we expect approximately $250 million to $270 million of a restructuring expense in 2012. Our total program remains at approximately $500 million of expense beginning in Q4 2011 through 2013. Finally, during 2011 we had several unusual items including settlement of legacy legal liabilities, supplier quality recovery and a benefit plan curtailment gain, all of which are being adjusted for year-over-year comparability. Taking into consideration all these items as shown on Slide 30, our ongoing operations from our business performance was $2.05 per share. You will note that our 2012 GAAP guidance of $5 to $5.50 adjusted for 2012 BEFIEX tax credits and restructuring expense translates into an ongoing business operation outlook of $6.50 to $7 per share. This represents a significant improvement from our ongoing business operation performance compared to 2011. On Slide 32, we highlight the main drivers of our expected year-over-year ongoing business operations performance improvement. During 2012, we expect 2-plus points of margin improvement from price/mix largely driven from material price increases implemented during 2011, as well as new price increases implemented in January, approximately 1 point of margin improvement from restructuring benefits, and we also expect that we will deliver between 0.5 to a Full point of margin expansion from our normal productivity. This includes offsetting approximately $300 million to $350 million of year-over-year material cost headwinds. And finally, higher marketing investment, increased benefit costs and unfavorable currency will reduce margins by approximately 1 point during 2012. On Slide 33 you will note we have $55 million in free cash flow usage during 2011 and our guidance of positive $100 million to $150 million in 2012. It's very important to note that we have significant cash outflows for legacy legal liabilities, which will be largely behind us after this year, and we also have the bulk of our restructuring program cash outflow during 2012. Slide 33 depicts the underlying cash flow we are generating through our operations after taking account the short-life cash requirements. Our underlying ongoing business operations' free cash flow improvement is largely driven by cash earnings, which is a direct result of the components of the profitability improvements I discussed earlier as well as lower capital spending, which is expected to be $500 million to $550 million compared to $608 million in 2011. You will also note that our pension contribution will be $250 million compared to $298 million in 2011. Before I close on Slide 34, I want to discuss our short-term cash flow priorities. First, it's important to point out that our legacy legal liabilities will be largely behind us after this year. Given these required cash outflows, our 2012 cash priorities are: funding the business, which includes capital expenditures and pension contributions; dividends, debt repayment, and as I previously mentioned funding the remaining legacy legal liabilities. Now I'll turn it over to Jeff.
Jeff M. Fettig: Thanks, Larry. Let me sum up our comments today. As I said at the beginning, we are pleased with the momentum that we had coming out of 2011. We are seeing and have seen improving price/mix. Our inventory levels are in great shape, and we have the strongest innovative product lineup we've ever had in our 101 year history. On today's call, as we outlined in October, we talked in great detail about the actions that we've taken to accelerate our ongoing business operations posed to deliver long-term value for our shareholders. We are executing very rapidly these strong actions, and we expect them to continue to improve our operating margins through our cost and capacity reduction initiatives, our ongoing productivity and the previously announced price increases. Again, we're planning for a flat to a slight improvement in demand. We will have raw material inflation in the range we talked about, but we expect to fully mitigate those increases through our productivity. So overall based on these assumptions, we do expect 2012 to be a strong year with ongoing business operations improvement and driving strong shareholder value. So at that point in time I will conclude our formal comments and will open this up for questions.
Operator: [Operator Instructions] We'll take our first question from the side of Ken Zener with KeyBanc Capital.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: I'm looking at Page 32 in your presentation. The margin walk that you guys highlight. If you look at the puts and takes, how would you kind of rate the risk of each of these categories? If you could just give us some of that sensitivity to where the concerns are. Obviously I think the pricing capacity is probably a fairly secure forecast, but can you talk about the...
Jeff M. Fettig: This is Jeff. Again, this is very similar to what we outlined in October, but I would say this, is that we have already turned around what for over a year was a very negative price margin mix hit to our earnings. And certainly in the third quarter, we have turned that from negative to positive. You saw in the fourth quarter that ramped up very nicely. So we're entering the year with a lot of positive momentum. We're one month into the actions we took at the beginning of the year, and we're very committed to this. As you go around the world, we haven't seen a material impact on our business from a market share standpoint. This is enabled by a continuous strong flow of new product innovation. So we may be losing some business in some areas, we're making it up in other areas. But net-net given our margin levels, with external inflation, we decided early last year, this was a critical initiative that we're very committed to, and we remain committed, so I fully expect to deliver upon what we're saying here, that the cost and capacity is the restructuring benefits. I think, as you know, we have a very strong track record of delivering. I expect the full $200 million that we committed to in October we will deliver this year. The normal productivity of 0.5 to 1 point, I'd say that I feel very good about our actions. The 2 dimensions that affect that of course are raw materials, which sitting here today we feel comfortable with the $300 million to $350 million. That can change either way, and demand, which has an impact on conversion in the factory . So right now, we're very comfortable with what we're presenting, and I would say in any of these, that we have equal upside as we do downside, and we're confident that we're going to deliver this kind of improvement in operating performance.
Larry M. Venturelli: Ken, just a couple of things to keep in mind as we talk about carryover price increases from last year. As you remember those price increases really started building momentum here in the back half of the year. In fact, in the fourth quarter, year-over-year we had about 3 point improvement. So we're carrying over about 1 point to 1.5 points of price increases in the next year. The second thing to build on, what Jeff said, if you think of the inventory takedown we had in the -- from the first half of last year to the end of the year, I mean that cost us, I would say from a conversion perspective, at least 1 point, so...
Jeff M. Fettig: I'll make one final comment, again, on these dimensions is, one is, the pricing we expect to see to fully reflected in the first quarter onward. Of course, in the second half of the year, we're up against different comps, but for the full year, it really -- has already started, whereas restructuring benefits and productivity will hold follow their normal build that they increase as we go throughout the year.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Okay. I appreciate that. Here's a question for Mark. Looking at the strength in the 4Q margins in North America at 4.1%, which has led to -- connected to what looks like a 3% price gain. Can you talk about rebates and if you held to the 10 to 20 days you mentioned in the third quarter call, and if that discipline of rebates, how that was -- did the retailers followed you, what was their response if there's any confusion on their part? I appreciate that.
Marc Bitzer: Ken, it's Marc. Let me first clarify so 4.1% margin for North America. The 3% that Larry was referring to pricing was a global number. The North America pricing on a year-over-year has been substantial above that number and has been in improvement on sequential base, which is kind of unusual given what already occurred in Q4, and we feel very good about the pricing progress in Q4 and have been also the subsequent carryover to 2012. Specifically, to your question on the holiday period, and I do appreciate that there has been a lot of reports out there, not all of them are correct, I think pretty much -- it unfolded the way how we expected it during our last earnings call. And the fact that I say it's -- we said there's a high, high amount of consumer direct demand out there and in that market environment we didn't see very strong return investment and promotional activities, and we therefore reduced our investment compared to previous years. That's what we've done, and as a result of it, our pricing has been pretty good in Q4. Our overall promotion period was flatly short in previous year and that's how we managed it. We feel pretty much reflects the way we expected it.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Okay. And I guess if I could have one last one is that favorable series of ITC rulings. You had 2 petitions so far. One's in a preliminary state of tariffs. How would that flow through results, and how should we look at it? So refrigerators that's already in place. Can you comment on the benefit that you actually saw in fourth quarter perhaps year-over-year realizing the washing machine is still very, very preliminary, but you should have already started seeing that, is there any clarification you can give us?
Jeff M. Fettig: Ken, basically we're not -- I mean, it's not done yet. As Marc outlined, there is another step of the process, which will be completed by early May. That's when the final determinations are made. I think what you're referring to is the fact that preliminary duties came out at the end of October, so basically [indiscernible] are potentially liable for after that date. So in that standpoint that is true. Our position is, we're not really willing to comment on any changes on that until the case is determined and over with.
Operator: We move next to the side of Eric Bosshard with Cleveland Research.
Eric Bosshard - Cleveland Research Company: Two, I'd love some clarification on. One, can you give us the quantification of what price/mix was in 4Q and in total for 2011?
Larry M. Venturelli: Yes. I'd say -- first let's say answer your second question -- this is Larry. Price/mix as you recall was down 2 points in the first half. That reversed in the second half, so price/mix is essentially flat for the year. If you look at fourth quarter year-over-year on the margin, price/mix is up 3 points.
Eric Bosshard - Cleveland Research Company: So 3 points in the fourth quarter, 2 points in the back half of the year and then on that same metric, the guidance is 2 points for all of 2012?
Larry M. Venturelli: Yes, we said 2-plus points.
Eric Bosshard - Cleveland Research Company: Okay. And within this, what's changed, we saw obviously 2010 and into 2011, I guess beginning at 4Q '10 price/mix was pretty bad and now it's changed. And I'm sure you always intend price/mix to be positive. Is there something that's changed from a competitive dynamic or something that's changed in the market that's allowed you to make the progress that here you've obviously aspired to for a while?
Jeff M. Fettig: Yes, Eric, it -- we really have to look at the cycle that we have seen here. It really began in the second half of 2010. We came off of a first half where we saw some -- somewhat ardent [ph] stimulus-driven growth, but good growth in the first half of the year. And then seemingly in the second half, the growth just stopped. And there was a lot of competitive dynamics at every level that drove us into a period of really 12-month period of very negative pricing, and I'm talking largely in the North American business. At the same time, coming into 2011, we, and I believe most companies were negatively surprised about the material inflation that accelerated. So you had basically negative demand, significantly negative pricing and very negative increases in cost. And that had a profound impact on margins across the board. Like I said, we took a decision for ourselves that we would -- given the innovation we had in our pipeline, given the level of margins that were unsustainable, that margin expansion was our number one priority, and we announced price increases early last year in the case of North America, and as we saw inflation ramp up even more, we took a second price increase and announced the third for January of 2012. We think those are the right decisions for the business. We obviously have higher margins to continue to invest in bringing more innovation and value to consumers. We're pleased with the progress. We're satisfied with the innovation that we're gaining, that our market share hasn't materially changed. And that's just the course one, I can't comment about others, but that's the path that we're on.
Eric Bosshard - Cleveland Research Company: And the second question, the Latin American business was down 3 or 4% in the back half of '11, and your, I think, guidance is for the market to grow 2% to 5% in '12. I'm curious about what you're seeing in the business or thinking about the business, even the early feedback on stimulus that's just the volumes you're going to turn from contracting in the last 6 months to improving over the next 12.
Michael A. Todman: It's Mike. What we did see, and similar to what we saw I would say in the last stimulus program was it actually drove about a 10% increase in the month of December, and we're continuing to see that kind of growth as we turn the page into the new year. So we do see that it's having a positive impact. Again, we don't know exactly how long that program is going to last, but the fact of the matter is it has driven some benefit. The other thing we're seeing is in markets outside of Brazil, we're continuing to see very strong growth in those markets. So we're feeling that this range that we've given is very appropriate.
Jeff M. Fettig: The only other comment, Eric I could think about Brazil and Latin America in general is that, not only did we have the stimulus in other words, the reduction in essence, sales tax on certain products. That has reignited the market, but also the government has taken -- they had taken some anti-inflationary steps earlier in the year to constrain demand. They've reversed those. There's a lot of talk of lowering interest rates, so there's balancing going on, and we're seeing a general pick up in total. At the same time, and it's similar to your question I referred to on North America is we did take a strong stance last year, throughout the year on pricing. We have achieved that pricing. We've also taken a strong stance on mix and we've really focused on stepping up the mix, and we're having good results with that.
Operator: And we'll go next to the site of Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: A couple of questions. First I want to rephrase an earlier question if I could. Specific to bottom-out fridges post-October, what did you see in wholesale industry prices and your specific market share?
Marc Bitzer: Sam, it's Marc. First of all, let me reiterate what Jeff was saying. Even with French Door [ph] [indiscernible] we are still in the preliminary phase of that entire process. So the final determination of this one is not happening before April of this year. So as long as the final are not out, I would expect that situation to be somewhat unstable. We saw in Q4 a slight increase of French Door prices, but I think it's too early to draw any broader conclusion on this one.
Jeff M. Fettig: Sam, again, I just add on this, both of the actions that we've taken. We are confident in the submission. We are confident in the process, and we're confident we'll have a positive outcome.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Okay. Second question I know people are beating to death the price/mix assumption. I want to look at it in a different way if I could. It doesn't look like you're assuming for any material degradation in demand from the higher prices as it relates to elasticity, yet it seems as though demand, over the past couple of years, has been much more elastic to changes in price than perhaps anybody was looking for. So is that -- is there a reason why you think demand would be still impervious to these prices?
Jeff M. Fettig: Yes, Sam there is, and again I would talk, it's a little bit different around the world. I would talk in the case of North America directly to answer your question, yes, we do think there's a very little relationship between change in prices and demand. And the reason we discussed before is that, that does not mean that there is not affordable products available to consumers. And we generally don't vacate price points, but we changed the value feature for price points, and the consumer who's in the market ever 10 years doesn't really have a preconceived notion about what that value feature content is. So as we've been through this the last 5 years, candidly, I don't think the price increases have any impact at all on demand. In other parts of the world, it's somewhat different. Where you have emerging markets where you're having first time consumers coming in where there is an affordability threshold, then we're a little bit more -- when we -- although we saw up the same need to raise prices, we're also innovating for the masses, if you will, in trying to bring more, let's say, continue to expand the affordability range with the consumers. So it's a little bit different around the world.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Last question if I might. It appears as though assuming that the IPI gets extended into the summer time based on your BEFIEX guidance, would that also assume then that the stimulus would be lasting that long as well? If the IPI actually does expire on March 31, how would that change your vision of Latin America and unit demands for the April 2012?
Jeff M. Fettig: Sam, we've got the 2% to 5% is Brazil and the rest of Latin America. The rest of Latin America already is at a higher run rate than that. So that -- and that's about 1/3. So the other 2/3 is Brazil. And I would say that short-term with the IPI, I think we're seeing the -- beginning -- December, January we're seeing higher much rates than that. So our balance 2% to 5% for the year, I think, depending on the broader general economic environment, I think whether they extend it or continue it, I think, if they extended, I would frankly expect higher demand. If they discontinue it, I think we're safe in the 2% to 5%, but of course then we'll be able to monetize BEFIEX through IPI. So that's kind of how I look at it.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: So it sound like October and November were pretty soft prior to the IPI. I don't know how well advertised the IPI was ahead of time, maybe that pushed some demand into December, but it would seem as though the natural demand would be a little bit lower than the 2% to 5% based on what was happening prior to the IPI.
Jeff M. Fettig: A couple things, Sam. I mean, we did see a softness coming out in summer into the fall, some negative comps, but we're also comping up against a big increase the previous year. But you're exactly right with one exception, is that the IPI reduction was not well-communicated in advance. It was -- I mean within 2 days, the government met, they decided on it, and I think it was like the last day of November they communicated it and started December 1. We were prepared to respond to that on December 1, but we saw immediate -- actually an immediate change in direction from demand with that.
Operator: We go next to the site of Josh Pollard with Goldman Sachs.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Could you just walk through how much in additional price increases need to occur in order for you to achieve your 2%-plus overall price/mix guidance for '12?
Jeff M. Fettig: None.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay, fair. And when you look at the overall number for productivity and cost improvement, please correct me if I'm wrong, but I'm getting numbers that total about $650 million between the sort of big broad cost productivity program that you guys have run in $200 million, and then the additional sort of "normal productivity" that you guys expect in excess of commodity inflation. Can you walk us through just some of the bigger, broader buckets through which that should come, and then give us a cadence over which we should see those benefits for the year?
Larry M. Venturelli: Yes, Josh. This is Larry. Let me talk a little bit about the benefits that we put in our guidance. We did say through the cost and capacity reductions that, that'd be about 1 point. So if you just use this year's sales that will be $185 million. We said we had $300 million to $350 million in headwinds, but we would more than offset that with the -- and our total productivity in total would be 0.5 to 1 point. So if you net those off together, you're probably talking about $325 million net. If you want to gross up the headwinds, then you've got about $300 million to $350 million.
Jeff M. Fettig: And then again, Josh, net the productivity is completely over and above separate from the restructuring benefits, which we call out separately.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: So if I do that math, I get a negative of $300 million to $350 million from commodities, but over and above that, you guys expect to get a 0.5 point to 1 point, so all in, that looks like that should be a benefit on my quick math of about $465 million in addition to the cost and productivity of $200 million. Am I thinking about that right?
Jeff M. Fettig: Yes. Again when we talk about productivity, it's net productivity, meaning that we have to generate enough productivity to offset all inflation, which includes raw material. It includes inflation in emerging markets, salary, et cetera, et cetera. So to net out 1 point, and 1 point is roughly $200 million to net out 1 point with $300 million to $350 million in inflation just on those 2 factors alone, we have to do $500 million to $550 million in gross productivity, and of course we have other inflation. So our gross productivity is in the $800 million to $1 billion range.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay, great. And then if you could just update us on the cadence for margins for 2012. You guys made some comments about continued improvement as you get through the year. I wanted to see if you meant by those comments that you expect margins to go up sequentially on 1Q, and then if you could talk about how you'd expect those to progress throughout the remainder of the year.
Larry M. Venturelli: Let me talk in general. I would say we would expect margins to improve sequentially throughout the year and I'm talking about the ongoing business operations, okay? So obviously we'll have restructuring expense, but if you look in BEFIEX, but if you x those out, we would expect margin improvement throughout the year. Historically we've had -- we do have seasonality in our business, Josh, historically 45%, 55% from a volume basis. Due to carryover, our pricing will be more weighted to the first half of the year than the back. Our history, if you look at our history, productivity tends to be more back-end weighted, and the restructuring benefits, I would say, would be more 40-60 but more back-end weighted. And as we mentioned we're assuming that the extension of the IPI tax holiday occurs, so the BEFIEX will be more back-end weighted.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay. And if I could just plug a last one in there. Pension expectations into the future, you guys sort of called that out as not a part of the ongoing expense, but for how long should we expect you guys to be in that $200 million to $300 million range on cash outflows for pension.
Larry M. Venturelli: I think it's a good question and obviously interest rates depend a lot on what we will pay out in any given year, and we're at historically low interest rates. So if rates were to stay this way for the next 4 years we'll pay probably around $200 million on average, but obviously if rates go up that number changes.
Operator: We'll go next to the side of David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: So I just want to follow up on a couple of previous questions. There is no midyear price hike built into your guidance.
Jeff M. Fettig: David, we don't talk about any future pricing.
David S. MacGregor - Longbow Research LLC: With respect to the guidance, Jeff, is there...
Jeff M. Fettig: No. My comments was that, I think Josh asked the question, and my comment was based on the carryover from 2011 and what we've already announced and implemented that -- it's sufficient to do the 2-plus we talked about. Now regarding future price increases, that's a different discussion, and it's something we don't comment about.
David S. MacGregor - Longbow Research LLC: Okay. Secondly on the BEFIEX credits, the assumption right now is that the program will conclude March 31. I think you'd indicated -- I just want to make sure I got is correct, but if it were to extend for the 9 months as it did in 2009 that there'd be an additional $115 million, 1-1-5?
Larry M. Venturelli: Yes. David, this is Larry. A couple of things. We're assuming -- we're modeling this year's tax holiday program consistent with what 2009 was, which ran for 9 months. So in our guidance we're assuming that carries over in the 9 months, and if you look at 2009, for the entire year, there was about $69 million of BEFIEX tax credits recognized. So we're being very smoothly between 60 and 80.
Jeff M. Fettig: David I think if it does conclude as currently prescribed on March 31, and there's no other changes, then we'd have initial up to $115 million more BEFIEX than what we were.
David S. MacGregor - Longbow Research LLC: Thanks for that correction. So if I do the math correctly using a 29% tax rate that's additional $1 per share of earnings. Would that take your guidance then up to $7.50 to $8?
Larry M. Venturelli: Again David if, in fact, the IPI tax holiday is not extended, and we will provide you with additional guidance on BEFIEX. The tax rate you should use would be more of a statutory rate in Brazil, which should be about 34%.
David S. MacGregor - Longbow Research LLC: Okay. So it's approximately $1 a share. Would that be taking your guidance up by approximately...
Jeff M. Fettig: Let's be clear. The $6.50 to $7 x's out BEFIEX.
David S. MacGregor - Longbow Research LLC: Okay. How much of the cost savings of the $200 million actually go to the bottom line?
Jeff M. Fettig: All of it.
David S. MacGregor - Longbow Research LLC: And then European pricing, Marc -- thanks very much for the specifics on your ASP lift in North America, can you give us a similar assessment for your European pricing?
Michael A. Todman: Yes, David it's Mike. We took an amount to price increase and went out in pricing and it was effective October 1. What we've seen sequentially, we have begun to realize some of that pricing had effect in the fourth quarter. It was up about 2 points from the third quarter. What we're expecting is to see continued, if you will, benefits from this pricing as we move forward into 2012. So we're already beginning to see that as we come into January, but we did see some sequential improvement, and we're expecting that to continue.
David S. MacGregor - Longbow Research LLC: Free cash flow guidance for 2012, what's you're working cap delta?
Larry M. Venturelli: We ended at 5.1% we've got of cash flow, David, expect some improvement in cash flow, but not to the extent we saw this year.
Operator: And for that final question we'll go to the site of Michael Rehaut with JPMorgan.
Michael Rehaut - JP Morgan Chase & Co, Research Division: First on the -- I'm sorry to get back to the price/mix, but I just wanted to make sure I understood for 2012. You said before, Jeff, it assumes no incremental pricing, but I was just curious how much of the information, how much of the expectation rather is from 2011 initiatives versus what you've begun to, and certainly you said you've already been able to fully realize a bit what was from the portion from what you've already done in '11 versus what you put into effect in 2012.
Larry M. Venturelli: Yes, Mike, this is Larry. We have about a little over 1 point carryover.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Okay. Second question on the European margins. It's a number that -- and obviously a lot of turnover in the region itself. But the European margin line certainly has moved around a lot this year. Just trying to get a sense of with the material amounts of benefits from the cost reduction program, how much of that would be in Europe, and how should we think about a European margin in 2012?
Michael A. Todman: Michael, this is Mike. What we did in the fourth quarter as we talked about, as we took production down significantly, that had a major impact. What we're expecting as we have going into 2012 is we're expecting to see improvement coming from price/mix that we just talked about. We're expecting to see improvement from the restructuring, which we're already beginning to realize in the first quarter, and we're expecting to see improvement from normal productivity initiatives. So I would expect us to see a fairly significant over the course of the year improvement and the European operating margins.
Larry M. Venturelli: And I think, Michael, you asked about restructuring -- about a quarter of that benefit is within Europe.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Okay. Just one more if I could. Understand [indiscernible] in terms of the lower level of productivity in -- I'm sorry or production levels, which I assumed you also kind of translated into productivity, I was just trying to get a sense of how that negatively impacted North America and European margins in the fourth quarter, and if the rebound in the productivity levels is something that you're capturing in the net productivity gain of 0.5 point to 1 point that you're expecting in 2012.
Larry M. Venturelli: Michael, again I think the Q4 impact you're talking excess of 1 point due to do the productivity cost take on, actually that will be a good guidance for us going into next year.
Jeff M. Fettig: Well, thanks everyone. Thank you for joining us then. We look forward to talking to you next time.
Operator: And this concludes today's program. Have a great day, you may disconnect at this time.